Operator: Good afternoon. And welcome to the KNOT Offshore Partners LP Earnings Release Fourth Quarter 2018 Conference Call. All participants will be in listen-only mode [Operator Instructions]. After today's presentation there will be an opportunity to ask questions [Operator Instructions]. Please note this event is being recorded. I would like to now turn the conference over to John Costain. Please go ahead.
John Costain: Thank you. If any of you have not read the earnings release or slide presentation, they're both available on Investors section of our Web site. On today's call, our review will include non-U.S. GAAP measures, such as distributable cash flow and adjusted earnings before interest, taxation, depreciation, amortization, the EBITDA. The earnings release includes a reconciliation of these non-U.S. GAAP measures to the most directly comparable GAAP financial measures. A quick reminder that any forward-looking statements made during today's call are subject to risks and uncertainties, and these are discussed at length in our annual and quarterly SEC filings. As you know, actual events and results can differ materially from those forward-looking statements. The partnership does not undertake a duty to update any forward-looking statements. KNOT Offshore Partners, focuses on the shuttle tanker segment. The individual tanker is field-specific and an integral component in the offshore value production chain. Shuttle tankers operate in a niche space and under non-volume-based contracts to transport oil from the offshore production units to shoreside. Being built to the charterers' requirements, the tankers are generally used on specific oil fields, enabling the partnership to yield both sustainable and stable revenue longer term. Oil production continues to move further offshore, so shuttle tankers operate in a space which will see substantial growth in the coming years. Our sponsors are very experienced operator having been involved in the design and construction of this type of vessel, growing its fleet organically for more than 30 years, and is part of one of the largest shipping groups in the world, Nippon Yusen or NYK. NYK is a member of the Mitsubishi Keiretsu. Now, the presentation Slide 3. For the fourth quarter 2018, the partnership generated another very solid set of results; total revenues of $70.9 million; operating income of $33 million; net cash flow of $8.8 million; and adjusted EBITDA of $55.4 million. The partnership generated distributable cash flow at $27.3 million, after declaring a cash distribution of $0.52 per unit. This gives coverage of 1.51 for the quarter. During the quarter, the fleet operates with 99.7% utilization, for scheduled operations and 98.3% utilization, taking into account, the scheduled drydocking of the Ingrid Knutsen, which was off-hire for 20 days in Q4. Since our initial public offering in 2013, we declared and paid common unit distributions of $11.34 and our current distribution has remained unchanged since 2015, at over 11% from the current unit price. On 17, December 2018, the partnership and the subsidiary of Royal Dutch Shell agreed to suspend Windsor Knutsen contract for a minimum of 10 months and a maximum of 12 months. The suspension period commenced March 4, 2019, and the vessel now operates under a time charter with a subsidiary of NYK, Knutsen on the same terms as the existing time charter contract with Shell. The remaining period of the original extension is then reinstated at the end of this period. A new CEO has been appointed. Gary Chapman has many years of experience in shipping. He will bring a fresh new perspective for the partnership and further strengthen ties with NYK, having worked with them for many years in various senior roles. Slide 4, the income statement. Total revenues were $70.9 million for the three months ended 31st December Q4, this compares to $70.7 million for the three months ended 30th, September Q3. The increase in revenues was due to increased earnings from the Hilda Knutsen, Torill Knutsen, as the vessels completed their first scheduled -- as we said, the drydock completed by the beginning of the fourth quarter. This increase was partially offset by reduced revenues from the Ingrid Knutsen, due to the off-hire period for the vessel, as a result of its first scheduled, survey drydocking which commenced in the fourth quarter. Vessel operating expenses for the fourth quarter 2018 were $14.2 million, a decrease of $1.1 million from the third quarter. The increase was due to the position of bunker cost, scheduled dry docking of Hilda and Torill Knutsen which took place in Q3. Lower operating costs on average are also due to the strengthening of the U.S. dollar against the Norwegian kroner. The decrease was partially offset by increased costs for the Ingrid Knutsen, which went offhire in the fourth quarter due to its scheduled drydocking. G&A expenses were $1.3 million in Q4 as Q3. Depreciation was $22.5 million for Q4, an increase of $0.1 million from Q3, mainly due to increased depreciation for Ingrid and Torill Knutsen due to drydock additions. As a result, operating income for the Q4 of 2018 was $33 million compared to $31.7 million in Q3. Interest expense for Q4 was $13.4 million, which is a decrease of $0.1 million from Q3. Realized and unrealized gain-- sorry losses on derivative instruments was $10.9 million in the fourth quarter, compared to a gain of $3 million in the third quarter. The unrealized non-cash element of the mark-to-market loss was $11.3 million compared to the gain of $2.1 million in Q3. Of the unrealized losses for Q4, $9.9 million related to interest rate swaps and $1.4 million to foreign currency contracts. Net income for Q4 was therefore reduced to $8.8 million compared to $20.9 million for Q3. Slide 5, adjusted EBITDA. In Q4, the partnership generated EBITDA of $55.4 million compared to $54.1 million in Q3. Adjusted EBITDA refers to earnings before interest, taxation, depreciation and amortization and other financial items, that provides a proxy for cash flow. Adjusted EBITDA of course is a non-US GAAP measure used by our investors to measure partnership performance. With a wasting asset like a vessel, younger fleets tend to produce lower EBITDAs for every dollar invested. The annuity effect reduces the annual loss in the early years, which is factored into the replacement CapEx calculation for the distributable cash flow. Slide 6, distributable cash flow. Another non-US GAAP measure scrutinized by investors to establish distribution sustainability. Distributable Cash Flow or DCF represents a net income adjusted for depreciation on realized gains and losses from derivatives. Distributions in a Series A preference units, under the non-cash items and maintenance and replacement capital for drydocking and capital expenses, which are required to maintain long-term operating capacity of and therefore the revenue generated by the partnership capital assets. DCF was $27.2 million in Q4 in comparison to $26.3 million in Q3. We maintained our distribution level for Q4 at $0.52 per unit, equivalent to an annual distribution of $2.08. The distribution coverage ratio was a healthy, our highest ever 1.51 times for Q4. Impacting the calculation, this quarter was also drydocking of Hilda and Torill Knutsen, first special survey, drydocking -- vessel operating MLP. The average coverage ratio was 1.50 times for the full-year 2018, which compares to 1.26 times for 2017. The distribution in excess of 11% of the current unit price today are largely invested (ph) Knutsen NYK would prefer increased coverage through investments and secondly deleveraging rather than increasing dividends. The growing coverage ratio gives the partnership more flexibility, regarding both capital base and distributions going forward. Slide 7. At the end of Q4, the partnership had $70.4 million in available liquidity, which consisted of cash and cash equivalents of $41.7 million and $28.7 million of capacity under its revolving credit facilities. The revolving credit facility matures in August 2019, September 2023. We have a predictable cash flow and a healthy liquidity position. The partnership's total interest bearing debt outstanding as of December 31st, 2018 was $1,087 million or $1,077 million net of debt issuance costs. The average margin paid on the partnership's outstanding debt in Q4 was approximately 2.1% over LIBOR. In Q4, the partnership interest rate swap agreements totaling $556 million, of which the partnership received interest based on LIBOR and paid at an average interest rate of 1.86%. These have an average maturity of approximately 4.9 years, while the partnership's net income is impacted by changes in the mark-to-market swap valuations, the cash flow is stabilized, mitigating the interest rate rise impact from the distributable cash flow. We also see rising interest rates in the US in 2018 and together with increased replacement CapEx in 2019, as the vessels gets older, our coverage will slightly be impacted this year, but overall 2019, again looks very solid. Slide 8, long term contracts. The Bodil Knutsen, our largest shuttle tanker operating in the North Sea, is ice class and on charter to Statoil until May 2020. Following the end of that charter, there are four further annual extension options. Torill and Hilda operates on the Goliat, the first field to be developed in the Barents Sea, and it currently represents the world's most northerly offshore development. After initial five year term, both vessels, the Hilda time charter was extended for four more years, and in October the first of five one year annual extensions was exercised on the Torill. Four of our vessels are on long-term bareboat charter through to 2023 with Petrobras Transpetro. Dan Sabia and Dan Cisne are a unique size and Fortaleza and Recife shallow drafts with lots of thruster capacity. Delivered in 2013, Carmen Knutsen is on charter to Repsol Sinopec until 2023. The Ingrid was delivered in 2013, and is operating in the North Sea on a time charter for Standard Marine Tonsberg. This will expire in the first quarter of 2024. The charter has options to extend the charter by up to five-one year periods. Raquel Knutsen was delivered in March 2015 and operates under a charter that will expires in the first quarter of 2025 to Repsol Sinopec in Brasil. There are options to extend until 2030. Tordis, Vigdis and Lena Knutsen are on five-year time charters to Brazil Shipping I, a subsidiary of Shell. These will expire in 2022, the charter has options to extend with two additional five-year options, totaling 15 years. The Brasil and Anna Knutsen are on charter to Galp Energia until 2022 with options to extend until 2028. The KNOT fleet has an average remaining fixed contract duration of 3.7 years and additional 4.4 years on average in charterers option. Whilst we currently have two drop-down candidates, which means the near-term equity requirement is very limited, given the market outlook, we expect to grow the MLP significantly in coming years. In summary, KNOT Offshore Partners should be considered as a mobile pipeline business with fully contracted revenue streams. KNOT has an elevated yield compared to most MLPs and is focused on building coverage and deleveraging. As of today, it is not making accretive investments. This quarter reported another very strong quarterly performance, record revenues EBITDA and distributable cash flow. For the full year, we set records for all the key financial measures revenue, EBITDA, distributable cash flow, unit distribution coverage and net income. KNOT has well-placed to complete in future tenders and currently two vessels are in order. We have a solid and profitable contract base generated by our modern fleet, which by the end of December, has an average age of around 5.75 years. Since the formation of KNOP, we have a very high levels of vessel utilization, on average about 99.6%, which financially translates into high and increasingly predictable revenues, adjusted EBITDA, and discounted cash flow as more vessels are added to the fleet. No one has more expertise in operating these sophisticated shuttle tankers of KNOT Offshore Partners and we operate these vessels with real expertise. Today, supply is tightening and the market is expanding and with tenders backed, the sponsor expects to go a further drop-down inventory. We have a large and financially strong and supportive sponsor who knows his market as well as anyone. Thank you. And that concludes the narrative for the slides. If anyone have any questions, I'll be happy to take them.
Operator: We will now begin the question-and-answer session [Operator Instructions]. The first question comes from Hillary Cacanando of Wells Fargo Securities. Please go ahead.
Hillary Cacanando: Why was Windsor Knutsen charters are suspended with just one-off, get an idea of what is the view…
John Costain: They actually show approaches about a few months ago and said, they had a bit of the surplus capacity in Brazil on the shell tankers. And they were asking, if we were interested in chartering a ship from them and we obviously needed a vessel in West Africa. They weren't initially prepared to give us a Windsor, but they said, okay, we asked them for one of our ships if we're going to do that. In the end, they agreed to let us have the Windsor back. So we have good news in West Africa on a contract we have there for eight to 10 months, probably the sponsors using it. And he's paying back-to-back rate, which is the same as what was on the CP with Shell. And effectively, that means that the MLP will see rather than the next as we're kicking in, they will continue with that charter at the back end of the substitution period. So effectively it extends this period on the vessel for the partnership and that's really what's happened. Shell, obviously, production hasn't quite been enough to utilize the vessel on to present and they've just been a bit more efficient than the process, if we needed the shipments that would take one of our back.
Hillary Cacanando: So this isn't a situation where like they could -- the suspension could continue after the…
John Costain: No, they've got a firm period on that. They wanted the ship, they are happy with the Windsor Knutsen. It's just could we said if we're going to charter the ship back to one of ours that's why we got four ships on charter to shell in Brazil and we'd rather have one of our ships to somebody else's logically.
Hillary Cacanando: And then Bodil Knutsen, the extension options, are they -- I think the last one was at a lower rate, the last extension?
John Costain: Yes, they are at lower rates. Yes, that's correct.
Hillary Cacanando: So the remaining ones, are they going to be at lower rates?
John Costain: They ask us an escalator on for the lower rate is increased so basically, it stops at a lower level, but it escalates every year…
Hillary Cacanando: So like for the next one that would be higher than the current pay but have a…
John Costain: No, the current rate is the old charter rate and then the new rate, the first new rate is lower and then the next new rate is still lower, but it's higher than the other rates, so there's an escalator on the option periods basically.
Hillary Cacanando: So it will higher than the previous one. Okay, got it.
John Costain: Yes, but not…
Operator: [Operator Instructions] Our next question comes from Ben Brownlow of Raymond James. Please go ahead.
Ben Brownlow: Just a follow up on the Windsor Knutsen. Just a few months around the timing there. Any specific variables that will influence the recommencement of that charter with Shell?
John Costain: No, it's basically start on the 4th of March, and it's between 10 and 12 months and then Shell take the ship back to -- down the remainder of the one year option and then the other options kick-in the enrollment.
Ben Brownlow: And you said they were back-to-back. So, there is absolutely no cash flow impact from repositioning or anything like that?
John Costain: There's no difference on the rate.
Ben Brownlow: And on the Bodil Knutsen, can you just give some color around the demand backdrop you're seeing there around the Johan Castberg field?
John Costain: Well, I mean, I'm not sure. The things with the Bodil, so it's been 1 million barrel ships slightly more than that and generally in the North Sea, most of the vessels are Aframax size. Now Statoil trying with the idea of moving the ship, they might move it to Brazil, they might keep. And we're working in the Barents Sea. I mean, we don't know exactly what their plans are at this stage. I mean, I would like most of [indiscernible] from much longer, but I think that's an open discussion. We'll start update, definitely ship long term it's just how they deploy the assets. It's has always been a bit of a tough story, had a bit of a heck on the rate, because it's always been a bit of a non-standard ship like the Windsor as well. These two vessels were not really built specifically for the fields that they're operating on now. The Windsor is an ice class tanker working in Brazil and the Bodil is a Suezmax tanker, which was built with the idea of the Barents Sea in mind, because its ice class, but there haven't been a lot of development yet in the Barents Sea, and at the moment most ships are being built of aframax size, these just because the voyagers are shorter really. So, I don't know what -- at the moment, Statoil will keep the ship anyway. I have no doubt about the rates. They're happy with the rate and they want to keep the ship long-term. And there's not that many shell tanks around the country, the demand is quite tight. So I don’t see an issue there it's just the case is what they want to do with the ship longer-term.
Operator: This concludes our question-and-answer session. I would now like to now turn the conference back over to John Costain for any closing remarks.
John Costain: I'd just like to say thank you and still probably my second to last in this call. I probably will do on end of May.
Operator: Mr. Costine, a couple of questioners just came in. Would you like to accept?
John Costain: Okay. I'll take them. Yes, no problem.
Operator: Okay. Our next question comes from Robert Silvera of R.E. Silvera and Associates. Please go ahead.
Robert Silvera: Hi, John, and thank you very much for doing such a good job and I'm sorry to see you leave, but obviously you have future plans and that's good. My question is this. Right now, you have a coverage ratio of 1.51. Do you have an upper target in mind or anything like that for the future that if you reach that you would increase the dividend? Is there anything like that going on?
John Costain: I mean, it's to say because I'm not strategically involved anymore with the business. But I think you've always got look at how the capital market is because this is an MLP and you use the distribution as a means to sell the MLP. And whether being a shipping company as well if you're not adding vessels, you increase the distribution you weaken the MLP in a way, because today it's obviously got a lot stronger because we've added assets, without pushing the distribution. And if the equity markets closed, it's hard to burn too much equity, now you don't want to do it in terms of the sponsor. Obviously, you're not hold the likes to receive cash, but that's the balance you've got to strike with. I mean at the end of the day, we are at the moment a very -- we've got a decent yield and the numbers look fine. So I mean, I don't think they'll change anything. I think also Knutsen, NYK doesn’t and it's under the units. So they don't want to damage their own stake. And that's also healthy for the individual unit holders, because I can see the sponsor has real investment in the MLP. So, that's really what I tried to emphasize. But I wouldn't like to comment too much on it, because obviously my assumption is end of May, so, I don't really have a lot of input on the distribution policy really. But I think what they're doing is very sensible today.
Robert Silvera: What is troubled me is if the distribution as past conference call says, is going to be pretty much fixed at the $0.52 a quarter and $2.08 per the year. If it stay fixed like that, the stock price has seem to been depreciating just as the assets of the ships are depreciating. So I guess…
John Costain: So the leverage comes [Multiple Speakers] using that new ships, that's the thing, that's the key, because obviously these vessels deleverage, that's basically what we do with the excess cash we just patented. So we end up with less debt on the ships. And then you -- as the assets come along, you try and buy through leverage rather than approaching the market for equity. And that's the way you deal with it or at least take a portion of the vessel through deleveraging. And that's how we built in the last two or three ships. And if the more you save on distributions the more you can do there and in the longer run, it's a long game, it's better, because obviously if you can invest at a decent rates. And you have to bear in mind as well as the sponsors of the business and they have to buy ships. And they have to raise equity and they have to trade the vessels. And accordingly, the MLP market is closed to a lot smaller MLP, I would say, the mid-stream space not with this. And you have to conserve a bit of equity where you can. So when the market reopens again, you can be a lot more optimistic and you can really push the distribution and raise capital.
Robert Silvera: But what do you see in the strategy that's now being carried out that would at least keep the prices and stock steady in that range…
John Costain: Well, I mean, obviously just to see or even -- I think the changes in management doesn't really help. I think when ever you see solid results every quarter, you see solid results from the commitment of footprint down, people get more comfortable with it. It sends out a message. And over time the history and the quality of -- the continued quality of the balance sheet, it helps building a distribution is fine in the short term, but as a short-term fix if you are not having assets, then you're not being able to raise equity. It's more difficult. So you have to balance it but it's a definite balancing act, always was. And require mature MLP today in a way we've been trading for six years now. But I know where we are coming from. And my preference is today in the current market is to be conservative really. I mean, I think it's a sensible approach. At the end of the day, it got my mind as well as this is lots of people and have got lot of players invested in this business. And a lot of the sponsors, they come to me, so it's important to keep stability and keep good footprint and a good trading history.
Robert Silvera: Well, that's what is concerned us all as a company who invested in you as a company, love the dividends. But if the price is eroding on the stock at the same rate that the dividends are being paid, the net is not a good number…
John Costain: Because something happened last two, three months and you, shouldn't start question too much and as long as the earnings come out well and you've got a good distribution it’s fine and you know, we retained -- the balance sheet looks... 
Robert Silvera: But we're in a long game, but we want to be comfortable that the stability of the stock prices is there and the strategy on you guys should be such that you maintain that price of the stock, at 20 to 22, somewhere in that neighborhood and not down at 17.5, 18, in effect for this last year we've lost the total of the distribution.
Robert Silvera: Well, yes, it's a book loss, I mean, it will come back.
Operator: [Operator Instructions] Our next question comes from David Starkey of Morgan Stanley. Please go ahead.
David Starkey: John, congratulations on your job and situation it's been nice working with you over the years. I have a question on, obviously, the stock prices are little frustrating, but we've seen this before and today we're getting a good reaction to the consistent with strong numbers you've been putting up. The question I have, you talked about the strategy of not raising the distribution, but starting to pay down some of that debt. And I was wondered what kind of goals you have in mind of over the years and to do that and to clean the balance sheet up or get it even stronger?
John Costain: Well, I mean lot of us shipping has been quite volatile in terms of asset values. And it's difficult to gauge how the -- also we've seen a team move into the market as well. So the market is growing quite rapidly but another competitor coming in changes the mix a little bit. And you don't really know how things are going to settle down. So it's an interesting environment. And it's good to have -- in the current environment, it's good to have the flexibility on capital that we do have by having a bit stronger balance sheet. So I mean, it's best if you can avoid having too many pressors or [indiscernible] bonds in the balance sheet is always helpful, because you keep the equity still we going in more strongly and that's quite important. The response is very important because it's got a large amount of common units and really that's probably been the strategy behind what's driving the policy of a stable state environment. We haven't added a lot of ships to the MLP in the last two to three years that's been good in one way, because it hasn't been the equity out that even build don't want to put into midstream, understandably. But on the other hand for us, it can be quite frustrating because we haven't grown in scale, which would have allowed the normal pattern of an MLP. And so it's a little bit of a trap. I mean, investors are contrarian at the moment. They want to see growth, they just don't want to see it now and they don't want to be for equity now but they want to see this in the future. So as you know yourself, it must be very difficult running a firm today midstream. It's not a best place to be. But I mean, I think, this shows where we are as a solid company.
David Starkey: But as you mentioned, the consistency of the long-term results have been good and that should be were something over time. Are you comfortable with team strategy going forward with your replacement here?
John Costain: Yes, I mean, I think it's a safe. I don't really know the guy to be honest. I think the nice thing is he's got good back ground within NYK, which shows and luckily very committed to the MLP and that's very good, that side of it.
David Starkey: And never running or hedging, are they going to be remaining in place. The people that are actually -- the hedge trading and things to keep the balance sheet…
John Costain: Yes, I mean, opportunistically. I mean, obviously, it's not so cheap now to hedges it was when we did those hedges. We would like to keep between about 50% to 70% of the interest charge hedge because I mean you try to match up when you fix the charters with the interest rates at the time. So obviously, it makes sense to produce a stable income at the level of hedging but you look at it today and it's not what it was in terms of pricing and it's come off a lot, admittedly this quarter as you can see from our losses on our portfolio, but we generally just ignore the day-to-day movements and we just try and take it opportunistically we have done in the past, and it's been good. I mean, the last two years, obviously, hedging has not always been a great story.
David Starkey: But they're stabilized now and we won't see too much more of the wage increases on the lifetime?
John Costain: No, I think you're right and I'm just hoping to stabilize, but not much fun either way, whether you buy hedge or not today, I think the game is over, isn't it?
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Costain for any closing remarks.
John Costain: Okay, thank you. I just have to say thanks for all your interest and time on this call, and it's been interesting asking some, answering some of the questions you put forward and I'll speak to one last time -- next time and hopefully, some of you got there by the end. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.